Operator: Thank you for standing by. This is the conference operator. Welcome to the Altus Group Fourth Quarter and Full-Year 2021 Financial Results Conference Call and Webcast. As a reminder, all participants are in listen-only mode. And the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Camilla Bartosiewicz. Please go ahead.
Camilla Bartosiewicz: Thank you Caitlin. Good afternoon, everyone, and welcome to Altus fourth quarter and year-end results conference call and webcast for the period ended December 31, 2021. The news release announcing our results was issued after market close this afternoon and is posted on our website along with our annual report, including the MD&A and financial statements. Joining us today are our CEO, Mike Gordon; incoming CEO, Jim Hannon; and CFO Angelo Bartolini. We'll start with some prepared remarks and then we'll move right into the Q&A session. If we miss any questions please contact me directly by e-mail. So we'll start with Angelo, beginning by covering off our financial performance during the quarter, or actually we'll start with Mike then over to Angelo, and then we'll finish with Jim Hannon with an operational update and our strategic priorities for 2022. Before we get started, please be advised that some of our remarks today may contain forward-looking information. Also pleased to remind that Altus uses certain non-GAAP non-IFRS measures as indicators of financial and operational performance. Forward-looking information and an explanation of these measures are detailed in today's news release and in our annual report. All of the forward-looking information discussed today is qualified by the cautionary statements included in these reports. And with that, I'd like to turn the call over to Mike for some opening remarks.
Mike Gordon: Thank you Camilla, and thank you for joining us this afternoon. We're running the call a little differently today. I'll start today, recapping our key accomplishments from the past year, turn it over to Angelo to add more colour on our Q4 results and the business outlook for this year, and then we'll turn it over again to Jim for an operational update and to discuss the key strategic priorities he's got the team focused on in 2022. All-in 2021 was a solid year of growth acceleration and strategic progress. We're especially proud of that considering the backdrop of continuing pandemic related challenges for our industry, the disruption of the summer cybersecurity incident, and quite frankly managing through change as our new leadership team refocused our long-term strategy and implemented a number of operational changes in support of that. Financially, we delivered robust growth in our key financial metrics with double-digit, 11% top line and earnings year-over-year growth. Our consolidated revenues stand at over $625 million. Adjusted EBITDA has now surpassed the $100 million threshold at $110 million, putting us on the path to start growing our margins this year and we finished 2021 with adjusted EPS at $1.90. The strong financial results set a solid foundation for continued growth in 2022 and beyond and demonstrate our ability to leverage our growth investments and acquisitions to generate strong returns. Operationally our momentum was undeterred. We delivered on our 2021 plans and this leaves us exceptionally well-positioned for sustained growth and innovation in 2022. Some highlights from the year include accelerating ARGUS Cloud adoption, surpassing our internal expectations as we finished the year with 42% of ARGUS Enterprise users contracted on the cloud, executing on three highly strategic acquisitions that have expanded our capabilities into key adjacencies in debt, data and analytics, while speeding up our time-to-market and growing our international footprint; advancing our operational and digital transformation of property tax, which furthers our strategy to incorporate tax management solutions under our Intelligence-as-a-Service model; and finally driving enhanced corporate alignment across all of Altus with revamped go-to-market strategies that have been driving solid sales execution in Altus Analytics and the rest of the business, and Jim will give us more on that in a few minutes. Above all, we delivered incredible value to our customers through our end-to-end actionable intelligence solutions, helping them maximize alpha and reduce beta during market conditions that even tested our industry's top performers. For that reason, Altus as a company continues to enjoy exceptionally strong client loyalty across all of our business lines and the network effect of our platform has been strengthened. As many of you know our long-term strategy and our product road map is formed around the substantive market opportunity ahead of Altus. We're significantly further along today owing to the operational achievements from 2021. This could not have been accomplished if not for the incredible talent on our team. Honestly we have the best of the industry on our team. I'm incredibly proud to have led Altus through this pivotal phase of its growth and look forward to my ongoing involvement as a Director on our Board for what I hope will be many years to come. And finally on a personal note as a fellow shareholder in the company, I'm excited for the value creation ahead under Jim and Jorge. Together with Angelo, Alex Probyn and our executive team, they have already hit the ground running in 2022. With that, I'll turn it over to Angelo to recap the fourth quarter.
Angelo Bartolini: Thanks Mike. Given that we pre-announced our results earlier this month, I'll be brief and aim to provide some additional colour on the quarter. As no doubt you saw, it was a solid finish to the year with 11% top line growth in our consolidated performance and steady earnings performance. Altus Analytics delivered terrific results. Revenues were $72.4 million, up 41% -- 47% on a constant currency basis. Perhaps most noteworthy, our analytics organic growth engine is going strong. Organic revenues were up in the double digits for the second consecutive quarter, up 17% or 22% again on constant currency. We saw good growth across all our key solutions with a healthy balance of customer expansion and new customer additions to our platform. Cross-selling with newly acquired solutions is ramping up. We're expanding our penetration with existing clients and steadily adding new clients. By one measure we added 297 new logos for ARGUS in Q4. That brings us up to approximately 1,230 new logos in 2021, a significant increase over 2020. Our gross retention rates remain in the industry leading range across all our software, data and analytics solutions, many of which are considered to be mission critical by our clients. All of this speaks to our improved operating posture under Jim's leadership. Equally impressive our overtime revenues were $59.8 million, up 38% or 41% on constant currency, and up 8.5% sequentially over Q3. We're also pleased with the steady progression against our cloud migration journey, which as Mike said surpassed our internal target. With 42% of AE users contracted on the cloud at the end of 2021, we expect to maintain good momentum in 2022 with the large majority of our AE users expected to be contracted to the cloud by end of 2023. The enhancements to cloud enabled AE14 launched in late 2021 are expected to be an influential consideration for larger firms in addition to our plans to end support for AE 12.1 or older by June 30, 2022. Adjusted EBITDA showed a good improvement in the quarter as well, up 9% to $10.7 million or 19% in constant currency. Similar to last quarter earnings were impacted by a $1.7 million purchase price accounting adjustment related to Finance Active and Reonomy's deferred revenues, which in turn had an approximate 1.9% impact to our margins. Bookings growth continues to trend very strongly, up 113% in Q4 in constant currency, of which 91% was organic, a solid precursor of growth in 2022. Given the strong sales execution driven by our operational initiatives, we continue to expect robust bookings growth in 2022. But keep in mind, growth rates will moderate given the high comps in 2021. As we look ahead, we feel really good about the opportunities for 2022 to deliver another strong year at the Analytics segment. Reflecting the strength of the business in 2021 and the contributions from the acquisitions we made, we are well-positioned to drive sustained double-digit revenue growth in 2022 including double-digit organic and overtime revenue growth both on constant currency as well. We expect a double-digit year-over-year improvement in adjusted EBITDA, which we expect will translate to year-over-year improvement in margins. Turning to the CRE Consulting segment. At Property Tax, Q4 revenues were up 4.5% to $60 million and earnings were up 1% to $18.2 million. We had good growth in Canada and the US. However, that was offset by a decline in the UK, which were impacted by a decrease in settlement activity volumes. Overall, it was a fantastic year as characterized by healthy appeal settlement volumes, strong success rates and overall higher savings for our clients. Strong bookings growth as we continue to onboard new clients and more properties onto our platform thus increasing our market share. Property assessment values are expected to continue to rise and we see greater opportunities for savings, particularly in disruptive times like these. And with the investments we have been making on our technology platforms, we expect to see the continued benefits of improving our CRM and business development capabilities, creating greater efficiencies in our workflows and capturing greater appeal savings through data and analytics. These trends set us on very strong footing to sustain multiyear growth and to deliver another record year in 2022. Our outlook is supported by a significant pipeline of cases to be settled in Canada, the US and the UK, a healthy backlog of new sales bookings as mentioned and record annuity billings in the UK. Long-term, we continue to see great growth opportunity as we differentiate ourselves from our competitors through technology and data analytics, growing our market share and enhancing the repeatability of our revenues and our operating leverage. And finally, our valuation and cost advisory revenues were in line with last year at $30.5 million, while earnings were down 2% to $5.9 million. The valuation and cost advisory practices enjoy significant market share within our jurisdictions and as a result are expected to continue growing modestly with a focus on unlocking operating efficiencies supported by technology. Turning to our financial position. We finished the year with a cash position of $51.3 million and with $287.6 million in bank debt. The funded debt to adjusted EBITDA leverage ratio as defined in our credit agreement was 2.47 times well-below our maximum limit of four times. Applying our cash, the net debt-to-adjusted EBITDA leverage ratio was 2.17 times -- on adjusted EBITDA levels, we are able to deleverage quickly and we apply our available capital towards growth initiatives. With that, I'll now turn it over to Jim to take us through some of the operational progress.
Jim Hannon: All right, great. Thanks Angelo. Good afternoon, everyone. It's great to join this call and I look forward to being on many more. We've definitely hit the ground running in 2022. At our analytics business in late Q4, we internally rolled out a transformational change to how we do business. A key initiative last year was to unify the business unit from a collection of siloed point solutions and disparate teams into a ubiquitous model that we can leverage to scale more efficiently. More importantly, we believe the changes will maximize the value we bring to our clients and to allow us to better tap into cross-sell opportunities, while offering our employees a far more attractive employee value prop. We approach this by revamping our go-to-market strategy and updating our operating model to make the shift to cloud based value selling. The bulk of the groundwork was laid in 2021 and we started the year executing on the strategy we shared with you at Investor Day. Our new operating model took effect January 4th and we're now integrating Reonomy, StratoDem Analytics and Finance Active onto that model. Our integration activities are progressing on plan and we're making solid inroads on the cross-sell. With the addition of these new capabilities, we've gained the credibility to have the alpha and beta conversations with our clients. This is also yielding improved account planning and improved business development activities. The feedback so far has been quite positive both for employees who are better equipped to connect with customers on value across the CRE asset life cycle and from our customers who are deeply engaged in the alpha and beta conversations. To put that in perspective this is a notable shift from past conversations with clients, many of which were with the IT procurement departments about simply increasing the number of software seats. In addition, this year we're further realigning the way we bring our solutions to market under Intelligence-as-a-service by combining our core software, data, analytics and advisory capabilities under the following five offerings; Altus Valuation, Altus Transactions, Altus Performance, Altus Strategy and Altus Intelligence. Each of these offers packages a number of our capabilities, which we believe best suits our customers' needs and addresses their pain points across the whole asset life cycle. This new offer structure is currently being rolled out internally with our sales training going on right now and it will be reflected in our new sales materials and our new website targeted for launch in Q2. As some of these changes have been taking fold, we've seen remarkable improvements in our sales execution. This is showing up in the strong bookings performance as well as other internal KPIs and we're just getting started. Alex Probyn, the President of Global Property Tax and I have discussed taking a similar approach to tax. Last year, we organized under a global model and began to work on go-to-market strategies and tech enabling a number of workflows. Later this year, Property Tax management will be included in the Altus Performance offer, which provides improved opportunities for cross-selling with our analytics clients. In 2022, our strategic focus builds on last year's priorities and the acquisitions we've made to drive transformative innovation. We've organized our priorities around three key themes; focus, simplification and execution. Eliminating complexity and driving operational excellence are key driving forces. Under focus, our strategy is purposeful on driving profitable revenue growth in each of our Tier 1 geographies. That's the US, Canada, UK, France, Germany and Australia and across our core customer sectors and segments. Through our regional P&L leadership, improved account planning, customer success and sales training initiatives we're well on our way and set up for strong execution in 2022. Be assured that driving the network effect by accelerating ARGUS Cloud adoption remains a high priority for us and we remain tactically focused on this both in migrating our legacy on-premise software users, as well as expanding our penetration with existing customers and adding new ones. As you heard from Angelo and Mike today, we made solid progress last year and we're tracking right on plan to have a high majority of our users on the same platform by the end of 2023. This will unlock a number of operating efficiencies and it's foundational to our Intelligence-as-a-Service delivery model. As for simplification, our focus is on the unification of our commercial data, value selling Intelligence-as-a-Service and expanding our platform economics. We have a very privileged position in our industry sitting at the intersection of valuations and transactions. As you've heard us say before, all roads lead to ARGUS driving the large volume of assets we touch through our service lines. Our business collects a substantial amount of valuable data across our solutions and service lines that we intend to leverage in our Intelligence-as-a-Service offering to deliver analytics at scale and with greater efficiency and speed. The core initiative this year is the unification of our data including expanding our governance and optimization processes. And with our enhanced data and data analytics capabilities, we're also focused on expanding those offerings to markets within our Tier 1 target markets. On value selling as just discussed a minute ago, a key priority is launching our new product offer structure under the Intelligence-as-a-Service. We started the year executing on this. And as we progress we will continue to realign our sales processes across the entire organization, sales incentives and pricing to increase client value and get more users on our platform. So regarding platform economics, we are transitioning our entire technology stack to a platform based approach designed for the management of our data model, the transition of our clients' digital experience and to reap the benefits of leverage and scale across our entire organization. We're continuing to integrate all of our underlying technology under a common Altus performance platform to deliver Intelligence-as-a-Service. By design, this approach is inclusive of all our solutions and service lines and will include a tax management workflow solution that will contribute valuable information to our Intelligence-as-a-Service model. And finally, under execution this is about getting our house in order to deliver on the strategy not to say that we weren't well-equipped but there are opportunities to improve. Coming together as One Altus is an important initiative that needs to be supported by common technology, change management, cultural alignment and HR programs that will meet our requirements for global growth. We're playing long ball and we are organizing ourselves accordingly. Moving towards one-off this is what will position us for excellence and sustainable growth. Altus looks a lot different today than it did when the company first went public in 2005. Keeping pace with our growth and the many acquisitions we made over the years, the time has come to fundamentally transform our internal systems for how we operate, collaborate and go to market as a unified Intelligence-as-a-Service provider. Our goal is to simplify how we engage with our employees and customers and maximize our internal systems so that we can efficiently and effectively scale. This is an investment to future proof Altus. Key ongoing initiatives in support of this strategic priority include upgrading finance back office systems to increase efficiency and effectiveness, optimizing CRM front office systems to maximize client value through integrated account planning, simplifying our solution architecture and enhancing our human resources those systems particularly in the area of performance management. Our talent strategy is core to our long-term growth and sustainability, particularly during an increasingly competitive labour market. We are investing in our global human resource systems to better manage our talent pool, strengthen employee engagement and productivity and create a best-in-industry employee experience with improved organizational cohesiveness. Equally important, we're embedding a culture of transformation diversity and inclusion. A solid starting point for the next step in our journey includes the commitment to a system of values that represent the great people of this company. Those values are think boldly, work conclusively, create exceptional experiences, strive to outperform and lead with integrity. These values reflect who we are, a team I'm extremely proud to be associated by. As you can gather, we have another busy year ahead of us with a clear plan for how we'll create stakeholder value. So in closing, I'd like to thank our customers for their continued commitment to Altus, our employees for your dedication, grit and solid execution, and our shareholders for the ongoing support and the confidence and trust you place in our team. Our executive transition is going very smoothly and personally, I couldn't be more excited about the year ahead. So with that, let's open up the line for questions. Operator?
Operator: Thank you. We'll now begin the question-and-answer session. [Operator Instructions] The first question is from Daniel Chan with TD Securities. Please go ahead.
Daniel Chan: Well, hi, and congrats on the strong cloud migration in the quarter. Would you say that the strong migration was largely due to large contracts migrating from on-prem to the cloud? Or was it -- I believe you said it was 297 new logos you added? Was it due to those, or is it more for the large contracts?
Mike Gordon: It was a combination of clients across the various segments. So it was both it was execution at the high touch and at the scale end.
Daniel Chan: Okay. And then what drove all those new customers in the quarter? Was there like some, sort of, promo in the quarter that was around?
Mike Gordon: Just a couple of things. The early adopters have been on and you have IT cycles that have been playing out over the years and it was just time for many clients to move over and they see the efficiencies and the enhanced capabilities of being on cloud. That was part of it. There was also some pricing actions that we've announced for next year. I think that moved some folks over. The clients understand that the best way that we can service them is through one platform and they're making the migration with us. But it's been -- the analytics sales teams have been extremely focused on driving to that 40% number throughout the year and they executed really well.
Daniel Chan: Okay. Thanks for that. That's helpful. And then you did mention that you're looking for the vast majority to be on the cloud by the end of the year. What is your visibility into next year that gives you that kind of confidence? Do you have a number of late stage discussions in the pipeline and some renewals that would suggest an acceleration from here? And do you have any actual numbers? Is it well-above 50% are we getting closer to 70%? Any colour on that would be helpful. Thank you.
Mike Gordon: Actually we said that we're looking to have a high majority by the end of 2023. That said the focus and the pace of growth I expect to keep up with where we're at this year.
Daniel Chan: Okay. Thanks.
Operator: The next question comes from Richard Tse with National Bank Financial. Please go ahead.
Richard Tse: Yes. Thank you. So, obviously, you guys are doing incredibly well in terms of the organic growth whether it's bookings or revenue. I'm just trying to understand, how I go about ranking where that's coming from. So you did a bunch of things in the past few years, like changes in the sales org. You've, obviously, made some acquisitions that build scale and you are expanding your product set. But like when it comes down to ranking all these initiatives, what is the biggest driver of this organic growth? And can you give us an order ranking in terms of what's the most prominent in terms of driving that growth?
Mike Gordon: Sure happy to comment on that and then maybe Angelo wants to jump in to give more of a historical view. There's the concept of the science of sales. And it's about just making sure that the end-to-end processes from getting our offer structure right through awareness, consideration, pipe build, looking at your pipe several quarters forward, making sure that you know what your marketing qualified leads -- sales qualified leads metrics need to be. So it's just been a team that got behind the program. They understood it early in the year and they've just been firing on all cylinders all year.
Angelo Bartolini: Yeah. And I would add…
Jim Hannon: Go ahead. Sorry.
Angelo Bartolini: No, no, sorry Jim, please finish.
Jim Hannon: No, no, I'm good. Go ahead Angelo.
Angelo Bartolini: Yeah, no. What I was going to say is it really is -- I'd echo that a lot of it stems from the go-to-market reorganization and initiatives that Jim launched. And when you look at where it's coming from, it's a collaboration of the teams and delivering solutions to clients and it really is coming from across the board. We're seeing improved selling on the software side on our multiple products and we're seeing it on the advisory side and especially helping our clients provide them with additional insights into their performance and decision making processes and the One11 services have been really firing all cylinders as well. So it's really that organic growth is coming from all of our segments.
Richard Tse: Okay. That's super helpful. I guess, while I have you Angelo like, are you guys in a position or will you be going forward to maybe give us a proportionate split in terms of the mix of this organic growth from new versus expansion accounts?
Angelo Bartolini: We are considering what metrics we will begin to disclose in the New Year. We really haven't landed. We are looking at significant improvements in our back-office systems that will provide us with greater and quicker insights into key metrics. And we'll be sharing more as we go along. But at this point, I'd just say hold on more will come.
Richard Tse: Okay. And just one last…
Jim Hannon: Yeah. Angelo I would…
Angelo Bartolini: Sorry go ahead Jim.
Jim Hannon: Yeah, I was going to say, the typical SaaS company metrics that you would be used to is a big driver of the infrastructure upgrades that I talked about. So Angelo and I are working with the teams so that we can more systemically produce that. We are focused on our internal metrics on things like long-term value relative to customer acquisition costs, net retention. So we're going there. It will be a function of the improved infrastructure.
Richard Tse: Okay, great. And just one last quick one for me. No doubt you along with Mike rolled out a very effective strategies by the looks of it in terms of the execution. So as you move into 2022, what part of that strategy, do you think is going to require more of your attention here, things that you may have not focused on as much that you want to direct more attention to this year?
Jim Hannon: Well, I'd say Mike and I and the team have developed a strategy together. So you're not going to see much pivoting away from what we've declared. So we tackled a lot as a company last year. And you can hear across Mike's comments, Angelo's comments and my comments, we are highly focused on execution but there are other close adjacencies that go with that strategy and we'll be keeping an eye on opportunities as they present. And we're chasing some opportunities that expand the footprint of the strategies that we've already put in play.
Richard Tse: Okay. Great.
Jim Hannon: No significant pivot in strategy.
Richard Tse: Okay. All the best. Thanks.
Operator: The next question is from Stephen MacLeod with BMO Capital Markets. Please go ahead.
Stephen MacLeod: Great. Thank you. Good afternoon or good evening guys. Jim, you mentioned -- you talked a little bit about in your prepared remarks just some of the infrastructure investments that you're talking -- that you've talked about having talked about needing to make. Some of those infrastructure investments will yield, it sounds like better metrics and better measurement of your execution. But I'm just curious like how do we think about those investments as it relates to the margin? And is it something that will weigh on margins for a period of time before generating returns? Or is it really -- are they really margin neutral? Maybe they are not that material?
Jim Hannon: For 2022, so Steve there's a couple of things here. There's the infrastructure investments in the platform that I talked about, which serves both clients and our internal processes around service delivery. So those will drive margin expansion later in the year. The infrastructure as you guys know there's a lot of work to put infrastructure in. So that will give us better management information for decision-making going forward. From a productivity per head, we do absolutely see that with the new infrastructure we'll be able to scale much more efficiently. So we should be able to accommodate significant more growth without having to increase back office capacity. But it's going to take us several quarters to get the infrastructure in play.
Stephen MacLeod: Okay. I see. So maybe something that would begin to be more apparent at the end of this year or the second half of this year?
Jim Hannon: Yes.
Stephen MacLeod: Okay, great. And then I just wanted to circle back around on some of the AE conversion expectations for this year. Would you still expect this year to be somewhat of an inflection point? That would be my first part of the question. And then secondly, you talked about having more of your larger customers potentially converting this year on the back of AE14 enhancements. And I was just wondering, if you could give a little bit of colour around what those enhancements are for those larger customers?
Jim Hannon: So it's the combination of the offers is really what drives us. We're not talking about the enhancements think about to leverage the capabilities of StratoDem, we need to be on cloud. So to the power of the Reonomy data with StratoDem is significantly more powerful than just data in and of itself. So it's the combination of the various assets that we acquired this year that drive the value and to -- we're specifically offering those enhancements to our cloud clients and not to on-prem.
Mike Gordon: If I can jump in here too Jim. I'd also throw out Steve from the conversations that we had last year remember we were also going down not only in the functionality that Jim's talked about but more of an open ecosystem. So you'll see on -- as we talk more as we go into the year and the road map develops there will be a lot more connectors to partners out there, making it easier for our customers to get there. And as a result as Jim said, there's just more functionality going to be out there and all new functionality is going to be built on the cloud. So as people are starting to like look at this, you've got a good pace of growth on the cloud right now. If it maintains at the same pace as it maintained last year, we'll have the preponderance of our guys over and then it's for the lack of better terms and the year after it starts to be a little bit more of a like cleanup.
Stephen MacLeod: Yeah. Okay, great. I was happy to…
Jim Hannon: You used the term inflection point. We saw that 35% to 40% range as a key inflection point where the early adopters were in and now you're getting broad market acceptance. And with that we think the industry follows. They see the benefit of cloud and of collaboration and enhanced analytics that comes with it. So right, yes, I think we're at an inflection point.
Stephen MacLeod: Okay, great. That all makes sense. Thanks for the colour. And then maybe just finally just on the tax business and maybe this one is for Angelo. But I was just curious, if you could give a bit more colour around what the financial impact is of the annuity billing cycle in the UK resetting in 2023?
Angelo Bartolini: Well, we're going to have -- we definitely are going to have the impact of the annuity as we disclose that will reset. So we won't see that repeating in 2023 and then we'll reset and scale back up in 2024 and 2025 as we go. But we are doing a lot of work right now to mitigate that. And if you look at the -- well where we -- as well as Jim talked about and Mike has talked about, we're really enhancing our go-to-market in all our jurisdictions. We're increasing our bookings. We're doing more along the lines of digitization and we have new initiatives that are coming to market particularly around the technology side of things. And so we should be able to make up a lot of that ground just given our bookings, our expansion in market share. And I'd say that's a pipeline that we have also going into 2023 continues to be very strong. We don't complete all of what we have in our backlog and our pipeline. It doesn't get all completed by this year. There's a tail that goes into 2023 and somewhat into 2024 as well. And so you won't see that entire impact with the annuities going away. It will be very, very muted. And we expect that…
Jim Hannon: And Angelo I would add to that as we said in the comments by design starting back last February and March, the platform has contemplated the tax business and that is to drive analytics -- better information for the analytics models on the analytics side, but also allows us to bring analytics into the tax business, which should drive more recurring revenues in that business.
Stephen MacLeod: Okay. That’s very helpful. Thanks guys. Appreciate it.
Operator: Our next question is from Paul Steep with Scotia Capital. Please go ahead.
Paul Steep: Hi, great. Jim maybe you can just comment on and may just be some of the wording in the annual here, but there's some very clear wording about acquisitions and level of activity and the fact that you think you're in a unique opportunity remain acquisitive and actually accelerate time-to-market. Just help us balance out the strong organic growth and maybe how aggressively you're going to look to maybe do more acquisitions with an increased credit line in November?
Jim Hannon: Sure. We're always keeping an eye on the organic build versus the acquiring of technologies. We're going to keep it within the stated strategy. So the leveraging of the balance sheet is absolutely a consideration as we go forward. So we've got a strong core dev team keeping an eye on the market. We've laid out the value chains of the services that surround the services we deliver today to understand who's playing right around us again keeping in that close adjacency. So while we're doing that though, we are also laser focused on the execution implementation and expansion of the acquisitions we've made.
Paul Steep: Great. And then maybe to clarify one thing from earlier, I don't know what we're now calling the five offerings. I know you've got the names of the AA. But I guess what I'm wondering is most of the changes because you highlighted a few things at the start in terms of changes to the sales force, changes to go-market, the fact that they were effective Jan 4, are we to think that most of those changes are fairly minor tweaks Jim and all the groundwork's in place, so we're full tilt in 2022? Or is there maybe more of a -- there might be a ramp period? Just want to make sure that if we're not missing anything on that front?
Jim Hannon: For Analytics, the heavy lifting was absolutely in 2021. So we added the customer success group, which changed the motions of the various folks in the sales teams and what they were focused on that allows us to put a hyper focus on renewals and net retention because the team focused just on that. That was a change that the team already went through. So the op model has been communicated across the whole analytics team, the op changes coming in were communicated back in the spring. Specifics on it were delivered in November to the team. We've had a solid change management program wrapped around it from the first minute. And January 4th was -- we were basically in that model already. We just made it the firm, reporting lines were firmed up on January 4th. And we've done some changes to our -- focus on our verticals and our territory alignment, which I think is going to drive a lot of again focus and productivity. But the teams they've been designing this. We've brought -- there's been a lot of input from the field itself. And it's not a major shift now, the major shift of last year. That's on the analytics side. On the tax side, Alex, has been driving change throughout 2021 as well. In my first week after being announced in this role, now coming into the role we're out with lots of the tax folks and they were immediately identifying cross-sell opportunities that are already in play. So the tax teams are taking advantage of the new GO P&L model that we have in analytics. So the synergies are already happening.
Paul Steep: Great. Just two quick follow-ups and I'll pass the line. In AA, how significant should we think of ending support for 12.1 [ph] in June 30th being? Is that going to be a material accelerant to the numbers that we should think about in Q2 or Q3 as people move forward? Or is a lot of the base already shifted? And then one more quick follow-up to not leave Angelo away.
Jim Hannon: You want the answer to that and then you're going to Angelo.
Paul Steep: Sure, sur. Sorry I was…
Jim Hannon: So I think we saw a bigger shift with the pricing changes that we've already announced. But then again go back to -- your plans to have their own budgeting processes and capital allocation processes and IT resource allocation. So I think we'll see it steady throughout the year. It's more the network effect of once you're in the 40s and you're rolling out enhancement that's going to be the bigger driver of growth. But I think we'll see it stay steady throughout the year.
Paul Steep: Make sense. Angelo, how do we think about CapEx this year? You referenced investment a bunch of times. Is it flattish to the current year uptick? Or should we actually tend down a little bit into this year? Thanks.
Angelo Bartolini: Yeah. I'd say it's going to be in the same ballpark. Some of the work that we're doing on the infrastructure that Jim is talking about there's new systems that we're implementing and there's going to be other enhancements that will be treated as capital but we're still in that -- we always kind of -- in the last couple of years we tended to be in the a few million dollars and it kept up this past year to the $6 million, $7 million range. We'll probably see it in that range and maybe somewhat a little higher but nothing really material.
Paul Steep: Thank you.
Operator: The next question is from Scott Fletcher with CIBC. Please go ahead.
Scott Fletcher: Hey guys. I have a question. I just wanted to ask about Reonomy and really how it's -- now that it's been three months since the deal since you acquired it, how it's tracking towards those initial plans. I think you said from getting to that $21 million ARR number just expectations to get to the mid to high 20s. Is that still something that's on track? And then same question on the margin side and how it's tracking towards the 2022 margin, you said nominally impacting the overall analytics margins?
Angelo Bartolini: Jim, did you want to take that? Or do you want me to… 
Jim Hannon: Yeah, I couldn't get off mute fast enough. The teams are doing great as far as the integration into the company, it's -- they offer structures as you can see the Reonomy data lands in several different places in those offer structures. So it's fundamental to the entire go-to-market strategy going forward. And the Reonomy go-to-market team has slotted right into the new go-to-market vertical structure. Some of the team is in the high touch, some of the teams in the scale business. We feel like we have good market coverage driving best practices across our Canadian Data Solutions Group, as well as Reonomy. And so from that perspective, it's baked right into everything that we're doing from an offer structure. Angelo, do you want to comment on the margins throughout the year?
Angelo Bartolini: Yeah. I mean, we'll see improvement as we go through the year as we increase the ARR and as we get to more of the synergies, we're on track with our plans around that those aspects. We should start seeing the results of some of that work more in a back half of Q2, early Q3 where we'll see a bigger release of cost and improved and will contribute more to the margin. So by year-end as we had talked about before, we should be flattish in terms of the impact of that acquisition.
Scott Fletcher: Okay, great. Thanks for that one. Second question is probably for you Angelo. Just note that the EBITDA margins in the valuation and cost advisory type were strong. Is there any -- could you just give us a bit of colour on what drove that and if that's may be an expectation going forward?
Angelo Bartolini: Really those -- particularly on the cost side just, it's a robust business. It's -- they've been really working on execution. They've been terrific and on the valuation side as well, I mean from an expectation standpoint. And what we're seeing is we've seen pretty good growth particularly out of the cost. Their bookings are increasing. They continue to scale up. And just the way they're operating just more efficiently. We're using more technology and we expect to continue to see improvement in that area.
Mike Gordon: If I could add Angelo. Hey, Scott this is Mike. I would say that a lot of the changes that Jim was driving on the sales side of the equation in Altus Analytics that was used on the cost side of the equation as well. And so we saw robust growth just based on good old fashion focused on sales execution. And the team executed very well on that and then just delivered. And I think that's going to be highlighted even further this year as Jim works that business with Altus Analytics and tax.
Scott Fletcher: All right. Thanks for the colour.
Operator: [Operator Instructions] Our next question is from Gavin Fairweather with Cormark. Please go ahead.
Gavin Fairweather: Hi, there. Just one for me and just on pricing. I mean, there's been a lot of changes. If you think about when your Tier 1 customers maybe moving from maintenance to subscription you've moved from a per-seat model to a per asset model and you referenced the new structure and AE14 pricing increases. Can you help us understand maybe the lift that you would expect from a Tier 1 customer moving from on-prem to cloud given all those puts and takes on pricing there?
Jim Hannon: Sure. The basic premise of the pricing needs to be, we need to create more value for the clients. I know that sounds a bit cliché, but it's how we're starting our conversation. So the cross-sell opportunity of the traditional software business into the Global Advisors, the BMS business even combining with the Canada RVA business, it allows us to package pricing very differently. And that creates expansion opportunities. When you're thinking about this per seat then your clients start thinking, do I really need to add that head? And now it's -- maybe you're in the acquisitions group, you have penetration into the acquisitions group but you're not into the planning group of the client. If we think about the model differently, we should be able to effectively yield more price, per client but also give the client significant more capacity while lowering their cost of doing business and driving collaboration for them. So the bundling of -- the packaging of the solutions together here is really what unlocks the value.
Gavin Fairweather: Thanks so much.
Operator: The next question is from Paul Treiber with RBC Capital Markets. Please go ahead.
Paul Treiber: Thanks so much and good afternoon. Just wanted to focus on the big picture growth outlook for AA, you're affirming the commitment of the aspiration to hit the $400 million. That's just over $100 million of the current run rate for AA. How do we think about the key drivers or opportunities that will take you there?
Jim Hannon: We talked about the organic growth numbers in the revenue that you're seeing realized on the P&L. You've seen the bookings numbers those up -- I don't know if that -- if you mean it by market segment if you mean it by type of solution but it's -- I come back to the cross-sell and the packaging of these new offers is what unlocks a tremendous amount of value and the growth opportunities. So the aspirational goals I feel are well within reach and with the assets that we have. So the organic growth should remain very strong. And as to the earlier question, we are keeping our eye on the market for acquisitions that are very close adjacencies or expansion of the footprint that we have already.
Paul Treiber: And when you think about the growth opportunity, you mentioned cross-sell and packaging, I mean that sounds like a lot of it is within the existing installed base and customers. How do you think about either new logos within the existing markets or new market either international or adjacencies?
Jim Hannon: Sure. So there's a lot to unpack in that question. We talked about the operating model, but we haven't gone into the details of the various vertical focus of the go-to-market teams now. So that -- so we go back to the -- what we thought about Investor Day where there's the high touch, which really -- that high-touch segment really is about wallet share expansion. You think about it in terms of back to the SaaS metrics in terms of net retention going up significantly, because of the cross-sell or things that don't end up in bookings but -- because it's an existing client, but grow the revenue base. So that really is about the opportunity to take analytics across multiple areas in our clients' estate. We do have the whole scale part of the go-to-market model that we've talked about as well. And that's where the vertical focus combined with the sales machine that supports the scale business at the appropriate cost structure is critical to growing the new market. So we think -- we see opportunities at both ends of the market. And that's as we're talking about the traditional ARGUS Enterprise part of the business taking Finance Active into North America, we've had success already bringing that product in. And right now the teams are really ramping up in this new integrated model. They are ramping that up significantly. We took Fred Ceyte, who is the Deputy CEO of Finance Active. He's now the P&L leader for the EMEA Analytics business. And again that's that cross-pollinization of the different solution sets. So we know Fred is going to be not only -- he has a strong software background so it's driving the Finance Active expansion across Europe, but also enabling the teams in North America as well. And then there's the continued growth and focus and excitement in the market about what we can do with that combination of StratoDem AE, our advisory data and Reonomy combined, which creates opportunities at both the high touch and the scale part of the market.
Paul Treiber: Okay. Thank you for taking my questions.
Jim Hannon: Yeah.
Operator: This concludes the question-and-answer session. I'd like to turn the conference back over to Jim Hannon for any closing remarks.
Jim Hannon: Great. Thank you. So we thank everyone for your continued interest in Altus. Really appreciate the turnout that we've had for this call given that we had our announcement earlier in the month. If there's additional questions, I think most of you know to reach out to Camilla and we'd be happy to take them. So thanks for your time. We appreciate the commitment to Altus and I look forward to talking to all of you soon. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may disconnect your lines. Have a pleasant day.